Pekka Rouhiainen: Good morning, and welcome to Valmet's Fourth Quarter and Financial Year 2024 Result Publication Webcast. My name is Pekka Rouhiainen, and I'm the Head of Investor Relations here at Valmet. And with me today are the presenters, President and CEO, Thomas Hinnerskov; and CFO, Katri Hokkanen. The year can be summarized so that Valmet's orders received in 2024 increased to a new record but net sales and comparable EBITA did not grow. The market was challenging especially for capital equipment. But we were of course very pleased to win a landmark order, which was booked to the fourth quarter. Today's agenda follows the usual routine. Thomas will first go through the year in brief and walk us through the development of the segments and business lines and Katri will then discuss the financial development, especially from the fourth quarter perspective. And after that, Thomas will wrap up with the dividend proposal guidance and Valmet's short-term market outlook. But with that Thomas, I'm handing to you.
Thomas Hinnerskov: Thank you very much, Pekka. Great to be here. I'm really pleased with that we've closed the year and now looking into a new year. Maybe just to sort of start off. I really want to thank all our 19,100-and-something Valmeteers around the globe, who've delivered a stunning job in a very challenging year and trying to take good care of all our customers globally. So thank you very much for that. Also thanks to the customers for their trust during the year and what for many customers also have been actually a challenging year. And then finally thanks to the analysts and investors for some good discussions in Q4 on my last six months – or first six months here at Valmet. Actually that was yesterday. So we had the anniversary, which is a good way to start the new next six months. So as Pekka said, if we look at 2024 sort of very overall orders received increased to a new record. Arauco deal was obviously sort of the landmark order that was booked in Q4 with a value of more than €1 billion. Overall, market and the year was characterized by being sort of quite challenging and particularly in the pulp and paper industry. Also strong order backlog of close to €4.5 billion I guess the second highest in the history of Valmet, which gives a good sort of solid starting point going into 2025. So – but despite those orders increased. As Pekka said, our net sales and comparable EBITA did not grow in 2024, which was in line with our guidance that we indicated earlier after the Q3 results. Margin 11.4%, highest ever, driven by sales mix or favorable sales mix. Cash flow increased to a new record for Valmet. And I have to say that's one of the things I'm really happy with for 2024. It really sort of shows good quality of earnings something that was criticized in some of the investor and analyst meeting that I had in the beginning of my tenure just after the Q3. So I'm really happy to say that good development here. And Katri will talk you more through the details of that. So really happy with that. ROCE 12.7%, a decent figure in our industry. However, I mean we want to find ways to improve that. As you know our current overall target is to be at least at 15%. Towards the end of the year, which is also one of the I think really exciting things that we have going is that we need to work to renew our strategy with the aim of defining our sort of future growth areas, simplifying the ways we work and make – simply making Valmet a more efficient operation than what we know today. And I'm very excited about that and believe that the things and the changes we're planning will enable us and Valmet to be much more faster, much more focused as an organization and as a partner for our customers, which will yes, be an exciting journey that we embark on. Our legacy of more than 225 years – actually 228 this year I guess it will be will be a solid foundation for that next chapter in the Valmet history books. So stay tuned for more information on that later this year. Going back to overall – orders and net sales rather evenly split between the different segments. Comparable EBITA €609 million came mostly from our stable business I would almost say as usual. Service and automation together are already at €585 million. So – but I think it's also despite – capital business is €43 million. It is good to sort of remember and take note that that does actually fuel the future service sales and service growth. So looking at it from a life cycle perspective is important in our industry. Comparable EBITA, track record 2015 to 2021 is really strong. However, the last three years, our EBITA has sort of largely been – or the growth there has largely been driven by acquisitions. We saw Tissue Converting late 2023, API this year. So yes, it's – yes you can see that it's – of course not really happy with that net sales are going down comparable EBITA did not increase as we would like. And this is actually the first year in Valmet's history where that has not happened. Primarily, I would say this clear decrease both in revenue and profitability -- we'll come back to that a bit later -- is in the Process Technologies segment. So going forward, we do need to make sure that we have sort of an efficient operation just like I alluded to for in our strategy work that we have initiated, that will perform also in a challenging market like we've seen in the last year. So the lack of organic growth and profitability is, of course, something that is high on the agenda when we look into this strategic renewal of Valmet. Orders received, yes, clearly a record quarter for the orders. I think that's clear to everyone, thanks to the Arauco and -- but overall, it was actually also a record year for orders received. So looking then, -- if you double click just into the sort of geographical, split South America and North America orders did increase, also in Asia Pacific. Whereas in China and EMEA, the overall market was soft and we saw a decrease there. In terms of the customer industry split, pulp and paper is of course, still the biggest segment that we have or industry that we have with roughly €4.5 billion of orders received. However, it is not insignificant, if you think about €1.3 billion roughly, is coming from energy and other process industries, as well. So there is starting to be a good diversification of our exposure to different customer segments. Stable business, currently close to €3.4 billion. So speaking of the foundation that we're standing on, it does provide a good resilience to cycles and also has a good profitability level, which we were benefiting from also last year. Organic growth 6% over the last 10 years. However, if you look at just last year, it was a challenging market and we had an organic growth of roughly 2% to 3%. Of course, something that we are working hard on to improve on and also wanted to take market share going forward. 2024 growth, overall 8%, €261 million. Of course, big impacts from our M&A activities like I said, Tissue Converting and API that we bought as a carve-out from Siemens. Yes. So, then yes, we can see that that stable part is almost 60% of Valmet's orders received during 2024, which actually is a very positive thing and provides a very good foundation for the future, but also for just the year to come. Order backlog, quite strong solid starting point for 2025, increased from 2023 and a bit higher than our previous record, which was in 2022. Capital order book backlog is almost €200 million lower however than it was in 2021, even though it is supported by our Tissue Converting and also the Arauco order. So this shows, a little bit about that growth in the service part and the stable business part. Roughly, €1.3 billion is expected to be realized as new sales in 2025. That's roughly €200 million less than what we expected a year ago, going into 2024. And I'll come back to our guidance later, which is actually that we will expect, despite this €200 million less coming from the order book backlog that we will have flat sales for the year. €1.7 billion of the order backlog is related to stable business, an increase compared to last year, which is also a good foundation for going into 2025. So, let's have a little bit of a deeper dive and look into the different segments and the business lines how they performed during 2025 -- 2024 that is. Process Technologies, orders increased actually pretty strong in 2024. However, it is also -- I mean, before we celebrate too much, it is good to recognize that without the Arauco, which was one order, it was actually the lowest year -- I wouldn't say ever, but at least in the last 10 years, so the latest Valmet history. So, it does show something about that we've had a market that was overall quite challenging, when it comes to Process Technologies. Trending comparable EBITA is also not positive, not something we're really happy about. Net sales decreased, clearly, and therefore also the comparable EBITA was impacted by the lower sales. I think it's also fair to say that, these lower sales did impact comparable EBITA including the margin, quite a bit. And that is something that we need to work on, going forward to have a more efficient operation that actually will perform also in a challenging market like we just gone through. So competitiveness and driving that is key, and it's going to be key going forward. And we'll put even more emphasis on it, in the years to come. Just want to show this slide, I also showed in Q3. Let's come back to it, because it was a highlight of the year and it was booked in Q4. World's largest single phase pulp mill, capacity of 3.5 million, tons a year will start up production in the second half of 2027. A significant milestone showcasing Valmet's sustainable technologies. I was actually there in December, visiting the team again and the customer. It's just great to see that they're working full steam ahead, really good collaboration with the customer. And we're ready to start doing the job on the site, and then being ready for the second half of 2027. So, important milestone and really exciting stuff. Speaking then of exciting stuff or pulp and paper at least, let's talk a little bit, sort of, double click on that and look at it at more detail. They were strong due to the Arauco. It is clear that because of that we become number one after having been number two in the market second player in the market for a couple of years. What I also took note of in 2024 was that activity in energy was actually lower than 2023 a bit surprising. Maybe when -- if we look a bit on the trends and how the energy market is, and we had recently sort of -- we still had an okay year with €300 million in orders and we did actually win all three boiler deals that were in the market in Europe in 2024, which of course does testify I think that we do have a strong technology offering and we have a good value proposition into that market. Overall South America dominated. North America basically close to zero. But I think the installed base there in North America is notably old. So we could potentially see some -- at least bigger modernization projects coming. Hopefully that would materialize in the not too distant future as well. Scope wise, single islands projects were roughly 30% of our order. Arauco was the only complete mill that was I think actually even tendered in the market last year. So it was -- I'm very pleased that that went to Valmet. Paper business line or board paper and tissue business, orders overall decreased. Think about -- tissue market was rather active actually and tissue converting supported our orders. So we're happy with that we went into that market in 2023 or end of 2023. And that's also why you see that's actually growing as part of our overall business in this business line. So, yeah, global leader I would say in tissue in the addressable market. Board orders were generally very weak and market activity were low. We also saw some minor, I would say lost market share to competition. And then most of the business came from new installment like in previous years. So service. Service orders increased to €1.9 billion. That's actually an all-time high. It is fair to admit that the market was difficult and organic growth was only 1% to 2%. We then benefited from a bit more tissue converting services as well. However, what I would say is that Q4 orders were strong, great to see that our proactive sales teams are getting more mill improvement projects. So there is more appetite for customers to actually modernize and upgrade their productions, as well as Fabrics also developed well in Q4. So net sales increased to €1.9 billion, margin were flat but comparable EBITA did increase due to the integration of our tissue converting business. So service segment market position continues to be number one, number two globally depending on where you see it and how you cut it. In customer segment split, there is this change in tissue, which we talked about. It was 5% last year. Now it's 14% with tissue converting. In business split, we've consolidated the earlier solution in the business units to mill improvement projects and field service. It's easier and actually also makes more meaningful data and input for investors and analysts to understand it in that way. And I actually find it easier myself as well to see it in that way. More or less the same as in 2023, we have big performance part business as well as in rolls and fabrics. These are largely driven by customer activity or capacity utilization. So, of course, something we monitor quite closely and see how that develops going into the future. Mill improvement projects and field service were 35%. So automation. Orders increased to €1.4 billion. Biggest reason for that was API. Organic growth was, however, modest roughly around the 2%. Especially in the pulp and paper packages, orders they were low and lower than we've seen historically as well, which is also an indication of this lower utilization rate, profitability challenges with some of our customers. But overall orders increased in automation system and were flat in flow control. And we'll come back -- a bit back to that in a second. The share of other process industry other than pulp and paper are already at 60%, which is actually a positive thing to do. It shows that we do have a strong value proposition also outside pulp and paper that does diversify our exposure to industry segments. And it's a good development I would say. Also maybe good to note that you see the margins are slightly going down. API and the acquisition we made there did have a negative impact on margins for last year. So Flow Control. Clearly, leading position in the pulp and paper industry then number one or number two in industrial gases and one of the big ones in refining and chemicals sort of top 10 positions I would say. Soft market in pulp and paper shows that -- you can see that it decreased from being 24% -- or to 24% from being 28% last year. From an area perspective, market in Europe was soft in 2024. While activity in North America also a bit in Middle East was much better than what we saw in some other parts of the world. Renewable energy and gases, metal and mining and other industries are growing, also as a consequence of the softer pulp and paper market. MRO Service, 68% a bit higher than a year ago. Nice to see that we still have a very strong foundation for our overall Flow Control business in this sort of operational services that we are supporting our customers with on a daily basis. So orders for projects decreased. Maybe good to note that the Arauco order -- there's of course some flow control valves included in the Arauco order. They were not booked in Q4 for Flow Control. Yet that comes later in the cycle of the project. So Automation Systems. Pulp and Paper, 58%. Energy and Process, 42%. API increased the share of Energy and Process by 10 percentage points from last year. DCS was 52% and we will come back to that a little bit more on the next slide. But -- and analyzers and measurements including API, which explain the rise in that share of our business. So what I would say here is Automation Systems -- service basically means all the business that we're doing to our existing Automation Systems installation base. I would maybe highlight Katri that -- and maybe Tomas Skogman, you should pay extra attention. We talked about this in one of our meetings. Automation System actually for the full year of 2024 organically so taking out the API acquisition, did grow 7% in a quite challenging market and a challenging market in particular in Pulp and Paper which was 58% of the overall business. So I do think that that pays testimony to strong value proposition also outside the Pulp and Paper, which I think is really a positive and that's something that we take pride of and also want to thank the team for that and also something that goes into the whole strategy process as well. So really a good development in Automation System. Just to maybe show a little bit of -- I would say, give a little bit of granularity of meat on the bone. We probably noticed that back in May, last year we did launch the Valmet DNAe. That was one of the highlight of 2024. Very pleased to see -- I mean even though these are long sales cycles, it is already getting traction. We received a good amount of orders on the DNAe. Arauco was mentioned earlier, but this Mercer is also a great example. So Mercer actually selected DNAe for their digitalization journey. They are renewing one of their old pulp mills in Canada and replacing the old system with DNAe. And with this change Mercer can increase the efficiency of their current operation. I mean, it's clear that it delivers better data utilization stronger -- or strong cybersecurity better collaboration, but also operational efficiency, not just in the exact mill, but also how you operate the mill. And it is getting harder and harder for some of our customers to actually find qualified staff for sort of operating the mills. And here DNAe can actually help reducing the need for that going forward. So happy to see that it's gaining traction, strong value proposition I think and very happy with Mercer being a strong reference for us and it solidified that we sort of are in the leading position in automation when it comes to the Pulp and Paper industry definitely as well. So exciting. Looking forward to more success stories on this front. And I want to thank Mercer for their trust and being one of the sort of trailblazers on this and actually taking it on and saying okay we want to do this. So with this I'm handing over to Katri for the financials and a little bit of more deep dive into that.
Katri Hokkanen: Thank you, Thomas, and thank you for the first six months together. I also want to send my big thanks to everybody who contributed for the successful closing of the year 2024. So I know what it takes. So big thanks to all of you. I will go through the fourth quarter in brief first. So Thomas already discussed some of the full year numbers and that's why I'm focusing here on this. In Q4, as said earlier, the orders were €2.5 billion and this was a record quarter for us and obviously impacted by the Arauco order. I used to work in Pulp and Energy business and I'm super proud of the team there. Net sales remained flat at €1.5 billion, and it was the highest quarter in terms of net sales last year. And this is a very typical seasonal pattern for Valmet. Comparable EBITA increased to €192 million. And actually we were €20 million behind after Q3 and needed really to catch up to reach the guidance, which we did. And I'm really pleased for the performance especially in Services who made a strong Q4 with 19.8% margin. And I will get back to the segment soon in my presentation. Margin was 12.6%, which is one of the best quarterly margins for us. And the margin was boosted by Services increase and the overall mix. Cash flow was €178 million for the quarter. And quarterly cash flows can fluctuate a lot and one should not look too much in a single quarter. However, of course, I'm very pleased that we made a record cash flow for the full year, as Thomas already mentioned. Gearing was 39% coming down sequentially from the 45% level reached during the second quarter last year. A few words about the key figures as well. Q4 orders more than doubled to all-time high, like I said earlier. Order backlog is 12% higher than a year ago, and Q4 net sales was slightly higher than in the comparison quarter, and minus 3% for the full year. Comparable EBITA increased 5% in Q4, but in the full year decreased by €10 million. And of course, this is disappointing for us. And like Thomas said earlier, we need to make sure that we have an efficient operation that will perform also in the challenging market. Items affecting comparability was minus €19 million for the fourth quarter and minus €53 million for the full year. And IACs were mainly related to M&A and restructuring for example in paper that we communicated earlier. The full year operating profit decreased as depreciations and amortizations increased and amortizations were impacted by the acquisition of Tissue Converting and API. And going forward, the quarterly amortizations are expected to be roughly in similar level as in Q4 in the quarters going forward. And all-in-all the amortizations totaled €108 million last year. Then adjusted EPS and EPS both decreased. So, lower operating profit like discussed and higher net financial expenses are behind the decrease. Comparable ROCE decreased 1.8 percentage points and this was due to increase in capital employed. Cash flow increased to a new record as said and this really shows that our cash conversion ability continues to be strong. Net debt to EBITDA increased, but gearing decreased. Then let's take a look at the segments from the Q4 perspective and I will start from Process Technologies. Again mentioned record orders due to Arauco and almost double from the previous quarterly high, which was actually in Q1 2021. Tissue Converting has been developing well and orders there were €56 million. And net sales, however, decreased by €78 million, or 13%, and Arauco did not yet have an impact on the net sales. Comparable EBITA was disappointing with 2.8% margin and it was impacted by lower net sales. Then moving to the Services segment key figures. It was a very good quarter in terms of orders received. Headline figure is plus 19%. And even without Tissue Converting and currencies the growth was 16%. As Thomas already mentioned, so the mill improvement project orders were higher and also Fabrics developed favorably in the fourth quarter. Net sales also increased by 12% and that was supporting then the comparable EBITA, which increased quite strongly in the Q4. And comparable EBITA was €112 million and margin just a notch below 20% threshold. And this was the best quarter ever for Services in terms of margin. Then some words about the Automation segment as well. There the orders increased strongly to €443 million. And actually this is 39% increase. And of course, the orders were impacted by Arauco package, which was booked to Automation Systems. And please do note that the Flow Control also has a smaller package to Arauco, but that will be booked later. API was supporting the orders by €43 million, and FX didn't play a role here. And Automation Systems orders grew double digit even without the Arauco and API impact. So while the uncertainty in Pulp and Paper market continues, we actually saw really nice growth, and I'm very pleased for the strong finish to the year. Net sales increased by €13 million [ph], but this was inorganic due to API. Then in terms of comparable EBITA that was up by 2%, but the margin was down by two percentage points and the margin decreased from the high margin in the comparison quarter partly due to integration of API business. Here is the summary of the segment key figures. We already covered most of these numbers. Maybe worth pointing out that while the full year comparable EBITA margin increased slightly none of the segment's margin increased. And the expenses in other were €17 million in the fourth quarter and €49 million for the full year. And this was in line with last year and also with our expectations. Comparable gross profit increased to 28.2% last year and sales mix contained about 62% stable business, which is clearly more than what we had last year. Comparable SG&A expenses increased to 18.4% of net sales last year. And good to mention here that the net sales decreased 10% organically, which then had an impact on the percentage. And all-in-all when you look at the absolute number in SG&A so the increase is mainly coming from the acquisitions. Cash flow so increased to €554 million, which is a new record for us. I'm very, very pleased to see the good cash conversion. And of course net working capital was the biggest driver behind the cash flow increase. CapEx was €107 million for the year and that was lower than a year ago. And net working capital amounted to €134 million, which is 2% of the orders. And I'm also pleased to see the improvement here compared to last year. And if you compare 2022 then 41% of orders were coming from stable business and last year that was close to 60%. And maybe good to mention that stable business typically ties up more net working capital and that is then also visible in those numbers. ROCE that has decreased to 12.7% and capital employed has increased due to acquisitions which then had led to lower ROCE. Adjusted EPS decreased compared with 2023 and this was mainly due to lower operating profit and higher net financial expenses. Net debt remained at the previous quarter's level being at €1 billion and net debt has increased in the recent years due to mergers and acquisitions. Gearing was 39% and net debt to EBITDA 1.55 and gearing decreased sequentially from the 43%. And of course these are higher levels than what we have had before, but good to again mention that we have much more stable business now in our portfolio. Interest rate was 4%. So some decrease sequentially from 4.4% at the end of Q3. And net financial expenses were €65 million last year and that was clearly higher than a year ago. This ends my part of the presentation. So back to you Thomas.
Thomas Hinnerskov: Thank you very much, Katri. So from good cash to then to what to use it for at least some of it. So let's look at the dividend proposal also the guidance and the short-term market outlook. So dividend our policy is to pay out at least 50% of net profit as a dividend. Here the Board proposes to the AGM or the Annual General Meeting that the dividend is going to be on the same year or same level as last year, which means €1.35 per share. This then represents a payout ratio of 89%. So payout ratio is higher as the earnings per share, Katri alluded to that, is lower has decreased. And then sort of, if you think about from an overall euro perspective that means that we will roughly pay out €250 million to our shareholders as dividend next year or this year in 2025. Like last year we'll pay it out in two installments. First installment will be paid in April or on April 8 and the second one on October 7. So – yes. Then in terms of guidance and short-term market outlook, our guidance for net sales and comparable EBITA will remain flat for 2025 compared to 2024. Like I showed earlier, we expect roughly €200 million less from the order book backlog to be recognized as sales than we did a year ago. Backlog is €479 million higher, but that relates to capital business which takes longer to turn and recognize as revenue. So comparable EBITA guidance mainly reflects the challenging market environment in particular in the sort of Pulp and Paper segment. Then you will have noticed that we have simplified the short-term market outlook and aligned that more with -- or aligned that with our segments and how we discuss and report to you. Previously we had a short-term market outlook composing of seven different categories. And that was just simply too complex. And we also received feedback from both analysts and investors that, does this granularity really adds value to the overall discussion? So we've consolidated that and aligned it with how we report. If you double click a little bit on the Process Technologies customer activity is estimated to remain stable of course with some variations overall stable albeit probably on a low level as we've seen last year. Tissue market is active. There's not much activity in Energy as we talked about earlier, but there is some sign of starting to improve. Board and paper activity continues to be low. Pulp as you know is very binary, sort of, very few things and it's often then what we see is mega deals in the market that it could be only one like last year which we won. But that of course makes the swing factor quite big there. Service or services -- Service customers the activity is estimated to start gradually improving capacity utilization rates. And profitability of customers caused some concern or some -- I wouldn't say concern but uncertainty there. There's also some new start-up machines coming particularly into the Europe market that will remain, sort of, hard to predict what the actual utilization rate will be. But we do see some sign of more demand. Area-wise North America, South America are looking positive like last year. EMEA and China continues to be soft. And then Asia-Pacific is somewhere in there between. Seasonally, Q1 has typically been the strongest quarters for orders. And of course trying to make sure that that also happens this year. So, overall production volume for customers slightly up, more machines coming to market. Utilization rate is a bit sort of hard to predict currently, but we do see a little bit of a positive wind blowing in that area. Automation, we estimate customer activity to remain stable. Again some variations between areas. North America, Middle East active markets. Europe, China more soft, more muted, less activity. Activity is generally quite good outside Pulp & Paper like we saw last year whereas Pulp & Paper continues to be in a soft spot. So, I guess that was all in terms of our presentations. Then I'll hand back for Pekka for further instructions and Q&A I guess.
A - Pekka Rouhiainen: Thank you, Thomas and Katri for the presentations. And now it's, like Thomas indicated, time to move on to the Q&A session then next. [Operator Instructions] But first we start with the questions here that I already have in the iPad. So, Thomas, firstly, here a question about the tariffs from -- which are now enforced in Mexico, Canada, and China from the U.S. So, what are your comments regarding those?
Thomas Hinnerskov: Yes that's of course -- thanks Pekka, a very topical question and discussion I think in most boardrooms and a lot of companies. Overall, I think -- good to remember that Mexico and Canada are new. That's sort of 25% which we've not seen before. China is 10% additional on top of the 25% we have seen for since Trump was in office last time. What I would say is if we split it up in Service, Process Tech, and Automation, I think that varies a little bit between -- I'll start with Services. We basically have 2,500 people in North America. Most of those are deployed in services, but also in production of parts and spare parts and materials what we sell to our customers. So, there we're actually very much in line with what Trump wants sort of this made in America. So, I'm quite sort of confident on that area. Then Process Tech, I mean none of the equipment that we are selling from a Process Technology perspective is being made in the U.S. also not with the competition. So, there I think we are on par with competition and we'll see how it translates into pricing and transfers the tariffs on to that. Automation System, I think we're also on par with competition. We do have some production there as well for our Flow Control business in particular. So, yes, that's -- it's just -- I think it's -- it needs to be managed. It needs to be constantly monitored. We need to react on what is happening. That's clear.
Pekka Rouhiainen: All right. Thanks. Thanks for that. And then a follow-up here maybe to the potential tariffs that might or might not come towards EU. So, what do you comment on the potential tariffs I guess that could be imposed by U.S. towards EU?
Thomas Hinnerskov: Yes, I think again, Pekka, I mean important to monitor constantly being ready also think about what could consequences be. However, it's hard -- even though it could happen we don't know the details of what would it look like. Also we don't know what would be the response from EU if it happened. So, I think about being prepared, monitor, being ready, but also maybe sort of from an investor perspective, just think about that our supply chain is in that sense quite on par with competition. So, I think that gives some -- I want to say stable ground to stand on from that perspective.
Pekka Rouhiainen: All right. Thanks. Then moving on to some other questions here over the line. Thomas mentioned at the beginning of the presentation that most of the EBITA came from the stable businesses. We had €609 million of total comparable EBITA. And if I now recall correctly €585 million coming from the stable business. So, the question here is that do you see this as the kind of a normal level going forward? And what should we expect from this business in the next couple of years?
Thomas Hinnerskov: Yes. Good question. I think it is important to sort of note that you can't be in one business and not the other. So, you need to really think about this as -- Process Technology yes we were not happy with the profitability level very much driven by also volumes that they were lower also driven by sort of how we've leveraged operationally. We're looking into that as well. So, can we have more flexibility in our production that we had. We're taking action on the profitability level as well. We can come back to that later as well. But I think it's important to think from a life cycle perspective that the Process Technology or the orders and the projects they actually fuel the Service business later on. So you have to sort of think from a life cycle perspective and seeing as a whole. And then it's about how do you then optimize that right?
Pekka Rouhiainen: Thank you so much. Now, as a reminder, you can post questions here with written questions as well. But now, I think for the time being we're done with those. We will get back to these if needed and if there are more. But we will move to the questions over the phone lines. So operator, please. I hand over to you now.
Operator: [Operator Instructions] The next question comes from Antti Kansanen from SEB. Please go ahead.
Antti Kansanen: Hi, Thomas, Katri and Pekka. A couple of questions from me. And maybe I'll start with the 2025 earnings guidance, which doesn't indicate a notable margin expansion. But like you said, I mean, the sales decline is from the backlog, which is mostly low-margin equipment business, which you then expect to catch up during the year from the shorter cycle business, which I assume carries a much higher margin. So how should we think about the lack of margin expansion on the guidance even if your sales mix, should I guess improve this year?
Thomas Hinnerskov: Hey, Antti, and thanks for the question. I think -- yes, as you said, order backlog €200 million short of what we actually had last year. So, of course, something else needs to come through. And of course, that is also about can we drive service business and stable business to a higher degree or shorter rotating the smaller projects that actually rotates during the year. And of course, that should come with good margins as well. I think you need to think about sort of how you see it for this year is that, the volume, just like we said, in the Process Technology that we are challenged with -- we have been challenged -- it's been a challenging market overall. Volumes have been low. That has impacted our profitability. There are some operational leverage in that where it just drops then faster in the wrong direction when it comes to the bottom line. We have taken some actions. Paper line, I think, we've announced that more than 100 people have gone out of the production. That's roughly 10%. We're doing temporary layoffs, which goes into the first half of this year. We're clearly looking at, in particularly, in our sort of strategy process that we're going through on cost competitiveness. That is key. That will be even more key in the future. But also this agility in how we set up in our whole supply chain is going to be key. And we need to as a company to sort of get used to that the market can be on a lower level than what we've seen in the past if we go back to sort of 12 years or something where we've been growing on the Process Technology until 2022.
Antti Kansanen: All right. And maybe a follow-up on that one regarding kind of Automation margins. And I guess the API integration has been a bit slow in a sense that it has hurt the margins a bit. So how should that trend going into 2025? Is there a strong year-over-year margin contribution on that business?
Thomas Hinnerskov: I think, the API -- first of all, we're very happy with the acquisition. I think it strategically fits really well into Automation Systems. It also opens up doors to new customer segments that we have not been so active with historically. Here we have sort of a world leader in its solutions, which means that you then also -- then you can actually sort of -- you're really sort of there with the customers and an important part of their integrated production. So, what is also -- and that something I think is important to realize is that this was a carve-out out of Siemens. Carve-outs are not the easiest ones to do but they can actually also drive quite a bit of value there. So of course, it was a difficult thing to carve it out first of Siemens and then integrate it into Valmet. And we acquired it -- was it April Katri? Sorry, April-May -- April?
Katri Hokkanen: Yes.
Thomas Hinnerskov: So nine months within the business. Both carving out of an existing business and getting into a new business that is, of course, something that does not come without cost and without also that you then see lower profitability of the business than what we would expect going forward. So we have a good ambition for the API going forward. Also clear -- I visited them in Singapore last year. I'm going to Houston during this quarter as well visiting them there. They are very happy about joining Valmet. They really sort of feel like, wow, we're not just sort of this side business nebengeschaft, as the Germans would say, but we're really sort of into core business of Valmet. So they feel energized and excited about being as part of Automation Systems. So very happy with it, and I think we will see more good things coming from them.
Antti Kansanen: All right. And then the last question from me is on the Paper business line. And I mean, it was a strong order intake compared to the previous one on Q4 and you talk about rather stable market on the PP as a whole. But could you maybe talk about how should we reflect Q4 and like your pipeline of potential projects going into 2025 versus what it was some time ago? I mean, you clearly converted some of that on Q4 but is it also filling up kind of going into 2025? Or what's the outlook?
Thomas Hinnerskov: Yeah a good question. Two things good to note in Q4. We were definitely happy with the order intake in Paper business there, mainly driving by two large orders one paper mill in Asia and then one tissue in North America. Very strong value propositions there happy to win it. There was also a little bit of we can say timing effect between Q3 and Q4. So that also impacted the strong Q4 as well. Overall -- and that's I think it's a little bit sort of yes tissue there's good activity. But overall some of these deals, because there are fewer of them they become a bit binary in terms of the overall market. But yes I think the team is having -- building up a good pipeline for going into this year despite that it is a challenging market. Any further on that Katri you think? Or...
Katri Hokkanen: I think it was well said that you need to look at the tissue separately. But on the board and paper as you said, the market continues to be low. And of course, it was very good to see a strong close for last year. But there are some variations of course always between the quarters.
Antti Kansanen: And the pipeline of bigger paper board tissue deals going into 2025?
Katri Hokkanen: There are -- okay I can take it. So there are some deals in the pipeline. And of course, it's our target to win the deals. But you never know the timing. And overall good to remember that the market activity is on a low level there.
Thomas Hinnerskov: But it's a bit digital. That's what I...
Katri Hokkanen: Exactly.
Thomas Hinnerskov: ....or binary maybe the better word. But there are some good deals being discussed. And of course that can come out positively. But yes let's see when we -- we do our utmost to make sure we stay number one in this market.
Antti Kansanen: All right. Thank you very much.
Operator: The next question comes from Sven Weier from UBS. Please go ahead.
Sven Weier: Good morning. It's Sven from UBS. Thanks for taking my question. The first one was on the Process Technology margin in Q4. You mentioned obviously negative sales effect. But I was also wondering, if you did do kind of maybe a final cleanup on the legacy projects in Q4? That's the first question. Thank you.
Katri Hokkanen: I can take it. Okay. So as said it was impacted by the lower volume and of course a very disappointing thing for us. About the cleanups you're probably referring to what we discussed in the second quarter. So there were some closures of old projects. So this didn't happen now in the fourth quarter. So all in all it was coming from the lower volume.
Sven Weier: Understood. Thank you. The second question is just to follow-up on the board pipeline. I mean, we all know it's a difficult market. We've now seen that Metsa is closing some capacity. I mean, what is your sense? What does it take for the market to come back eventually? Do you think that the capacity cleanup has to go further and we have to go through a certain adjustment phase for maybe a few years before the market can recover? Or do you also see material regional differences that this is maybe a problem that is just limited to Europe? So any further color would be appreciated.
Thomas Hinnerskov: I think overall Europe and Asia are soft. Europe mainly because of an economic perspective. Asia maybe more from a -- sort of they have overcapacity in the market. So there needs to be some capacity consolidation on the -- how can I put it? The least productive or efficient part of the market which will probably -- it will eventually happen I'm sure. So I think Sven think about it from three dimensions. One is least effective or efficient capacity needs to go out more effective capacity could come in at a point in time. That's one. Modernization maybe particularly in the North American market. We've got sort of older capacity installations. You see more modernization that -- or more modernization demand could be building up to come out at an opportune time. And then the last the third part is -- and that's where -- maybe the tariffs is sort of putting a little bit of or potential tariffs or potential trade war put a bit sort of cloud over the future is sort of how that's going to impact our economic growth in the world and in different parts of the world. And therefore, the overall demand of tissue and board and paper. Especially, if we think about sort of global trade containerboard how is that going to be impacted short term by the different talks.
Sven Weier: I mean, have you delivered now all the major board projects that you have been winning in the last years? Is that done? Or are you still in the process of finally delivering some of them?
Thomas Hinnerskov: We don't comment -- do we comment on this? No. Yes I was just...
Katri Hokkanen: Yes. And typically it takes on the Board and Paper side probably 18 months to complete the project. So you can a little bit use that in the calculations when you estimate that.
Sven Weier: Okay. Fair. Final question was just on Arauco. I was just curious if you already received the prepayment in Q4 and that was also helping the cash flow? Or is that still to come?
Katri Hokkanen: No, we actually received in Q4. So that was in our numbers.
Sven Weier: But I guess you wouldn't quantify it.
Katri Hokkanen: You're right with that. So unfortunately, we haven't been disclosing the number. But of course, we are really happy that the project is booked and has started as Thomas said earlier in his presentation.
Thomas Hinnerskov: And of course the percentages of these kind of prepayments would vary from project to project as well. But we always try to make sure that we are cash positive during the life cycle of the project in order also to have no sort of credit risk.
Sven Weier: Understood. Thank you, both.
Katri Hokkanen: Thank you.
Operator: The next question comes from Johan Eliason from Kepler Cheuvreux. Please go ahead.
Johan Eliason: Yes, hi Thomas, Katri and Pekka, this is Johan at Kepler Cheuvreux. Just a minor question regarding the dividend which was flat year-over-year. Thomas, your predecessor Pasi was always very proud of every year being able to add a few cents on the dividend payment. Has that sort of ambition stopped now going forward? Or is there something in the pipeline ahead that makes the Board a bit cautious with the balance sheet? Thank you.
Thomas Hinnerskov: Thanks, Johan. Overall, I think -- my ambition and my sort of focus is -- it's about total return to shareholders. It's not about really how it comes, but it's about making sure that the shareholders are getting the best possible return overall. We have then a dividend policy that's been 50%. We now kept it flat from a euro perspective, but it has increased from a payout ratio perspective. So I think that sends sort of a signal. Of course, with the strategy review that we're doing, we will also review our financial targets. We will also review the dividend policy. And I think the dividend -- you need to also going forward take into consideration sort of how do we see the investment opportunities within the company both from an M&A perspective. So would we actually sort of prefer to retain more cash, pay less out or -- also wouldn't sort of rule out that we would also have to look -- would look into, would there be potential benefit from actually having share buybacks as well and return additional cash to the shareholders via share buybacks instead of dividends and look that from a very sort of international investor perspective. But of course, the Board this year is recommending that we pay out the same euro amount which is a percentage from a payout ratio higher than last year.
Johan Eliason: Good. Looking forward to your outcome of your review and then the new targets, have you set the date when this will be communicated? I think I remember something about the Capital Markets Day ahead.
Thomas Hinnerskov: Yes. We have not sent out formal invitation, but maybe put a placeholder in your diary. So, we'll organize and arrange a Capital Market Day on June 5 this year and it will be in Finland. We'll send out formal invitations later. But put a -- fill out the date and save the date for what hopefully becomes exciting news and good discussions.
Johan Eliason: Excellent, thank you.
Thomas Hinnerskov: So we will do it before mid-summer.
Operator: The next question comes from Panu Laitinmaki from Danske Bank. Please go ahead.
Panu Laitinmaki: Thanks. I have a couple of questions. Firstly on the Process Technologies margins. So, I mean it was down sequentially and you said that it's due to lower volumes. But the revenue was not that different than what we have seen in the past few quarters. And then for the past couple of years, you have been commenting that you had some projects burdened by inflation burning margins. So I just can't kind of get to why it came down sequentially. Did you still have these projects there? Or where they're going?
Thomas Hinnerskov: So maybe Katri, you can add as well. But I think just like Katri said before, there was no sort of cleaning up on the portfolio or settlement of certain challenging client situation in Q4. So it was in that sense a normalized Q4 that was -- what can I say? Yes, so true margins in that sense. Not that it's a great margin and not that we are happy about it. And that's also why we took some actions on layoffs and temporary layoffs as well. And it's also why the talk about – discussions about cost competitive both from a product perspective but also overall supply chain footprint perspective is a key part of our strategic discussions and review.
Panu Laitinmaki: Okay. Then on the guidance. So there was a question that why you are not expecting margin expansion due to mix change. So did I understand correctly that you expect the Process Technologies kind of decline in earnings to offset whatever kind of benefit you get from growth in Services and then you are cautious on the Automation margin near-term due to the acquisition burdening it?
Thomas Hinnerskov: I'm not sure Panu, I fully followed your question. Can you just repeat again? There was a bit sort of noise on the line. Sorry for that.
Panu Laitinmaki: Yes. I mean on the guidance so flat EBIT, despite what I believe is probably growth in Services. So does that imply that you expect Process Technologies' earnings to go down in 2025?
Thomas Hinnerskov: Yes I think a good question. Overall, I mean we are guiding on top level and bottom level for the overall company not for the specific segments and specific business parts. So yes, flat sales, flat EBITA. Yes there might be mix changes, there might be margin changes within the segments. But overall, that's how we guide. And of course, as you know, we still have the financial target of 12% to 14% EBITA margin or comparable EBITA margin. And that's of course not gone away just because we're doing a strategic review of the business.
Panu Laitinmaki: Thanks. Just a final one quickly. On the guidance so I assume it is something that you expect to kind of reach and have some buffer in it. So I mean what is the key uncertainty at this point of the year that you kind of don't know? Is it the Service market? Is it the Automation margin? Or kind of what is the key uncertainty?
Thomas Hinnerskov: I think it's maybe fair to say that – of course our guidance is our guidance and we strongly believe in that. That is how it is. And I think it's also fair to say that the overall market and economy is in a situation not just for Valmet, but in general, there is quite a bit of sort of fog out there right? It looks a bit like the Finnish winter this year. Looking out from [indiscernible] there's been quite a lot of gray days and sometimes it shines and sometimes it snows and sometimes ice is melting. A bit hard to predict. It is sort of average-average kind of thing right but it goes a bit sort of in different directions. So I think it's fair to say that most companies and management teams struggle really to sort of really truly sort of have a very firm prediction of where the world is heading and especially if they have a global business like we have. But we stand fully behind the guidance and that's what we believe in currently.
Katri Hokkanen: And if I just build on top of that. So just as a reminder – you mentioned it already during your presentation – that going towards this year, the backlog is €200 million lower. So actually we have book and bill in all of the segments. Maybe worth mentioning. Of course, this Arauco, which we also mentioned many times. So even if it was a high or big order but there actually the revenue is split to 2025 2026 and 2027. So it's not going to materialize all this year. And maybe a final comment, which also I mentioned during my presentation that actually in all of the segments the margin didn't improve. So Services was flat and the others were down. So of course to reach our targets so of course, we are looking for improvement overall.
Thomas Hinnerskov: But good to see Q4 in service and stable business really coming out strong. So that of course, gives some good feelings about going into 2025
Panu Laitinmaki: Great. Thank you.
Thomas Hinnerskov: Despite the fog if I can put it that way.
Operator: The next question comes from Mikael Doepel from Nordea. Please go ahead.
Mikael Doepel: Thank you and good afternoon I guess now everybody. I have a couple of questions on the pulp market and a bit more on Arauco. But if you can start with the market overall, how would you describe the pulp project pipeline currently? Do you expect to see any more big tenders in 2025 as well?
Thomas Hinnerskov: Yes. Good question, Mikael. I mean it's fair to say that just like in 2024, pulp market is sort of not – what can I say? a bit soft. But also if you think from a capital project perspective, it is very, very binary, right? So it's – there could be one, there could also be none. But it's clear that – South America, it is a place where there are good opportunities in terms of if you have the right land there to establish and have some good cost in terms of producing pulp to the world there. Of course, the world also needs to absorb all that market pulp. So that's, of course, another dimension that our customers need to relate to when they make these big investment decisions. But hard to say in terms of the timing, but I think it's clear that we will see more large pulp mills in South America in the future. But when, it's a bit hard to predict.
Mikael Doepel: Okay. No that's fair. And then just another question on pricing and maybe costs as well. So how do you see your selling prices trending into 2025 vis-à-vis cost? I guess, the question is more how do you view the price-cost dynamics going into the year, I mean both in terms of your order intake as well as on the revenues that you're going to book? Is it fair to assume a fairly neutral impact on that or something else?
Thomas Hinnerskov: Yeah. I think first of all the big part of that what will realize into sales in 2025, we already know the pricing on that as Katri alluded to in terms of the order backlog. So that's pretty well known. Of course, pricing -- we have inflation. In certain markets, it's much more manageable than what it was a few years ago. So that's a good thing. Then, thinking about some of the markets, which are quite binary. Low market activity, of course, that can be a bit more price competitive than what we've seen historically. Of course, we're trying that's also why I'm saying this thing that the cost competitiveness is really key and it's going to be even more vital going forward. And that's some of the things we are looking at, because the demand -- and also making sure that you do actually have a flexible supply chain, so that you can gear up and down on how much you want to produce. But also swapping between what are you delivering to an Arauco pulp project, or are you doing a board project, some of these things making sure that how can you modelize some of this and actually make it a bit more flexible from a production perspective. And, of course, pricing is not an art. It's a science, right? So actually understanding the whole pricing dynamics in the market having the data looking at that is quite important.
Mikael Doepel: Okay. Thank you very much.
Operator: There are no more questions at this time. So I hand the conference back to the speakers.
Pekka Rouhiainen: All right. Thank you for the questions from the phones. And there are still a couple here. So -- actually quite a bit. But some of those have already been addressed. So maybe not going through each one of those. But first about the items affecting comparability. So a question on the IAC side, second quarter in a row with close to €20 million in IAC. So any comments?
Katri Hokkanen: Yeah. Thank you. A good question whoever sent it. I already mentioned it in my presentation that they were mainly related to M&A as well as restructuring what we have done last year.
Pekka Rouhiainen: All right. A question on the underlying growth, kind of, organic growth without Arauco that came in nicely in services and especially in the Automation Systems business line in Q4, so any additional color on why the services orders in Q4 were so strong excluding Arauco and same for automation systems?
Thomas Hinnerskov: Yeah, I think just briefly on Q4 and services. Of course we did get a service package from Arauco deal, which did impact the services. But I think also overall there was actually good underlying growth. Back to what I think -- what I said earlier great to see that our mill service teams actually managed to sell some of the mill packages we've not seen really early in the year. So we've seen more customers were buying the consumables and the consumables part of the service business but less so on the modernization holding a little bit back. Maybe sweating the asset a little bit if you can say so. And then that actually -- proactive sales came through in Q4, which was good to see. Automation system without acquisitions, without the Arauco order still the 7% organic growth for the year, really good to see as well. And it finished on a strong -- building up Q4 was very strong on that one. So overall I think that -- back to what I said before testimony to our strong value proposition that we do have in automation system.
Katri Hokkanen: Yeah. Maybe one color to add to the automation systems, which was really positive was actually on the pulp and paper side. So they actually had a very strong order intake on the fourth quarter. There also have been some delays. Customers have been postponing some of their decisions and the direct sales there was good, of course, one timer and everybody understands what the situation on the pulp and paper market is. But, nevertheless, also very happy that there was such a strong close for the bookings in Q4.
Pekka Rouhiainen: Thank you. And then two more here at the moment, so looking wider into the kind of geopolitical situation also, outside of the tariffs -- I guess, the person here wants to know that what's your view on the geopolitical situation overall and impact to Valmet.
Thomas Hinnerskov: Yeah. I think, -- I mean, it's probably hard to disagree with that the overall geopolitical situation is a bit sort of dynamic to say the least Pekka. I think the benefit for us is that we are a global business. We do have business in Australia, in China, in Indonesia across the globe North America, South America. And that's also why we're benefiting from, that in certain segments North America, South America have been going well. Europe, China has been soft. That could change, depending on how the situation goes. So, you're getting a bit of that -- sort of global is clearly being a positive thing for us, despite that it's a dynamic situation and you can sort of wakeup in the morning then something happened in the world. But yeah, we manage it. I think it's about -- and it's also about -- this thing about -- what we talk about from the strategic review is, how can we create an organization that is simpler and therefore also faster in both decision-making and managing complex situations that are locally in the different countries, right? And that's where the work we're doing will improve on that. But also this whole leadership philosophy of empowering the organization to a larger degree than what has happened historically that will also speed the decision up, because then we do have great employees who are close to where the problem is, close to where the customer is can make the decisions on-site deal with it. Let's move on, right? Yeah. So agile -- sort of simplifying the business take complexity out, empower the people then you're in the best position to actually manage the dynamic situation. Then you can talk about scenarios and so on. But at the end of the day, having great people that are empowered will do the job right and faster. Thank you so much.
Pekka Rouhiainen: And then, Johan Eliason here is still asking some housekeeping issues going probably to -- more towards Katri's side, so about tax rates. Tax rates in 2024.
Katri Hokkanen: Yeah.
Pekka Rouhiainen: Tax rates in 2024 and the impacts rates going forward…
Thomas Hinnerskov: …effective tax rate..
Pekka Rouhiainen: Starting with the effective tax rate, yes.
Katri Hokkanen: Okay. Thank you, Johan, a good question. The ETR was actually a bit higher for Valmet. It was 26.95%, if I remember correctly. And there was a one-time impact coming from Brazil. So actually if we take that out it would have been on this 25% level which is more normal for us. And going forward that is also the level that we're expecting.
Pekka Rouhiainen: And then another part of this question is, what about the CapEx plans going into 2025?
Katri Hokkanen: Yeah.
Pekka Rouhiainen: Some changes to the CapEx that you are foreseeing?
Katri Hokkanen: Thank you. Good question, again. It was €107 million for the year. Actually it was lower than what we had a year ago. At this moment, I think that we will probably land somewhere on the same level. So of course we can give more precise estimates as the year goes forward. But I don't expect any major increase there.
Pekka Rouhiainen: All right. Thank you, Thomas and Katri. And thank you for the good discussions from the phone lines and also the activities in the online platform. So thanks for that. Next, events for Valmet are going to be, the Annual General Meeting. Of course happens every year and also of course now, so March 26. Then the interim review next one Q1 will be April 23. And then like Thomas already a little bit indicated the Capital Markets Day for Valmet will take place on June 5th. So please save the date, for the CMD. And like said by Thomas, we will follow-up with more details and formal invitations later. But with this, I will now close this event. Thanks again everybody. And have a nice -- I guess it's a busy day for many who are following listed companies. So have a good active day.
Thomas Hinnerskov: Have a good one and see you out there. Thanks.
Katri Hokkanen: Thank you.